Operator: Good day, ladies and gentlemen, and welcome to the Papa John's First Quarter 2014 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this call is being recorded. I'll now introduce your host for today’s conference, Lance Tucker, Chief Financial Officer. You may begin.
Lance F. Tucker: Thank you, Ashley. Good morning. With me on the call today are our Founder, Chairman and CEO, John Schnatter; President and COO, Tony Thompson; SVP of Global Operations, Steve Ritchie, CMO, Bob Kraut, and other members of our senior management team. After a brief financial update, John and Tony will have comments about our business and the management team will then be available for Q&A. Our discussion today will contain forward-looking statements that involve risks and uncertainties relating to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings press release and the risk factors included in our SEC filings. All statements made on this call are as of today, and we undertake no obligation to update the information on this call in the event facts or circumstances subsequently change. In addition, certain financial measures we use on this call are expressed on a non-GAAP basis. Our GAAP to non-GAAP results reconciliation can be found in our earnings press release available on the Investor Relations section of our website. Unless otherwise noted, all comparisons are versus the comparable a year ago. This call is being taped and the replay will be available for a limited time on our website and in downloadable podcast format. Finally, we ask any media to be in a listen-only mode, as this is primarily an investor call. Now on to a discussion of our first quarter and operating results; for the first quarter, our diluted earnings per share were $0.45, up 7% versus 2013 with operating income growth of $2.4 million or 8%. Our first quarter revenues increased 13% versus the fourth quarter of 2013 driving the increase for comp sales of 9.6% in North America and 6.4% for international as well as a 5.8% increase in the number of units operating globally on a year-over-year basis. The North American comps and increased unit count also drove higher PJ Food Service revenues as they had higher cheese prices. We opened 12 net global units in the first quarter with 17 net international opens and five net North America closures. On a business segment basis, operating income for domestic company-owned restaurant was up over $2.3 million in the first quarter. Incremental profits from our 11.4% comps were partially offset by lower gross margins due primarily to higher cheese prices. Operating income for the North America franchising segment increased approximately $1.3 million in the first quarter, due primarily to the increase in net units and comparable sales of 8.9%. Operating income for our domestic commissary business segment increased by approximately $300,000 in the first quarter, due primarily to the incremental volume associated with higher restaurant sales, partially offset by transition costs to in-house distribution from a third party firm at certain of our QCCs. Operating results for our international segment increased approximately $400,000 in the first quarter, due primarily to 6.4% comps and a higher number of you units on a year-over-year basis. Unallocated corporate expenses increased approximately $2.9 million in the first quarter, due primarily to a $400,000 increase in interest expense, the prior year including an $800,000 benefit from JV accounting and higher G&A cost related primarily to salaries, benefits and the performance-based incentive compensation plan. Our effective tax rate was 34.6% in the first quarter, up 1.7% from the prior year. Our effective tax rate may fluctuate for various reasons. The first quarter 2013 benefited from a reinstatement of certain 2012 tax credits and certain favorable tax settlements, none of which were present in 2014. We repurchased approximately $33 million of stock during the first quarter; the company has approximately $72 million of remaining share repurchase authorization. Our free cash flow, a non-GAAP measure we define as cash flow from operations less capital expenditures was approximately $50 million for the trailing 12 month period. Our net debt position, defined as total debt less cash and cash equivalents, was approximately $163 million at the end of the first quarter. Finally, the Company reaffirms all previously announced 2014 full year guidance. Given the current high commodity cost environment, we expect that we may be towards the lower end of our net unit openings guidance range as domestic restaurant closures continue to run a bit higher than we had originally expected. Now, I would like to turn the call over to our Founder, Chairman and CEO, John Schnatter. John?
John H. Schnatter: Thanks, Lance, and good morning everyone. We're glad you're able to join us this morning as we discuss our first quarter 2014 results. I am pleased to report that Papa John's is off to a strong start in 2014 and I'm optimistic that we can maintain our momentum throughout the year. As Lance noted, we had particularly strong sales results domestically with our system delivering 9.6% North America comp sales. Our international performance was also strong at 6.4% comp sales, the storng sales across all regions. My congratulations to our franchisees and operators throughout the world on these strong results. I'm proud to see that in the midst of competitive and economic pressures, including high commodity costs that our franchisees continued focus on the fundamentals and delivering on our better ingredients, better pizza brand promise continues to pay off. Now, as you've seen in our earnings release, we were pleased to report our international division continues steadily improvement. In total, our international division delivered system-wide sales growth of 22% for the quarter and we opened 17 net new restaurants. Congratulations to our international team for a strong quarter. As we planned, infrastructure investments made over the past several years, now coupled with strong sales, are driving solid results. China continues to be a focused market for us with a large and growing consumer class and economy that continues to grow at over 7%. Clearly, we are at the right place, at the right time. As in the case domestically, Papa John's is the quality leader in the international markets we serve. While our international markets will have their ups and downs as we gain scale, we are extremely bullish on our long-term prospects across the world. Today, we only have about one restaurant for 3 million people in our international market. So there's a long runway for growth for Papa John's internationally. Now, turning to the domestic business. Our first quarter success was fueled in large part by the success of our Double Cheeseburger Pizza promotion and our continuing relationship with Peyton Manning and the NFL. We kicked off the year with an anniversary offer that was supported by an ad featuring Peyton Manning and four-time winning Super Bowl quarterback Joe Montana. Given Peyton's incredible year and the Bronco's Super Bowl run, we were thrilled to have the most talked about athlete in all of sports promoting our brand. That success rolled right into our Double Cheeseburger promotion, which was very popular with the customer and also operators because it was a $12 price point. This proved, yet again, that consumers are willing to pay a premium – a little bit of a premium for quality that they can't get anywhere except for Papa John's Pizza. It looks like we're on our way to replicating that success and fun that we had with Peyton with our newest partner, Indiana Pacers all-star forward, Paul George. This last week we launched a campaign with Paul to promote our new Sweet Chili Chicken Pizza, which we expect to do very well. I'll wrap up by saying Papa John's says clearly perform well across nearly every measure of over the past several years and we are proud of the fact that we have not had to divert from our strategy and our model of high quality, better ingredients, better pizza promise, which is a proven winner. Going forward, we will deliver on our well positioned to continue to deliver on the three things we know drive shareholder value, driving new unit development, two building same-store sales growth, three driving strong unit-level economics. We are confident we will continue our momentum throughout 2014 with study growth and sale in EPS along with continued digital and technology gains. Now, let me hand it over to our President, Tony Thompson. Tony?
Anthony N. Thompson: Thanks John. I would like to start by congratulating our franchisees and operators around the world on a tremendous first quarter. With continued competitive pressures and high cheese prices, delivering 9.6% North American comp sales and 6.4% international comp sales in Q1. While growing operating profit is very impressive. In my mind, one word in particular sums up our quarter momentum. We started 2014 coming off a very strong Q4 and we never took our foot off the pedal. As John mentioned, our anniversary promotion supported by the Peyton Manning and Joe Montana commercial, as well as our popular Double Cheeseburger LTO, not only kept our sales momentum going but accelerated it. On our last call I mentioned that two areas, in particular, stood out in helping us deliver an outstanding 2013. One of them is our strong LTO pipeline. The success of the Double Cheeseburger Pizza, as well as our new Sweet Chili Chicken Pizza, are direct results of that focus on our LTO pipeline. That enabled us to distance ourselves from the competition during the quarter, where, as John noted, we were able to command a $12 premium for our pizza while the competition remained at a lower price point. The point John made bears repeating. Our Q1 success reinforces the notion that consumers are willing to pay more for a better quality product from the industry's recognized quality leader. The other area that continued to be a strength for us in Q1, and continues, is our digital leadership position. John recognized very early on that customer ordering habits were likely going to change with the rapid growth of the internet, which resulted in Papa John's becoming the first national pizza company to offer system-wide online ordering at all of its U.S. delivery restaurants in 2001, 13 years later, Papa John's is still setting the pace. We grew our total domestic digital sales to well over 45% during the quarter, putting us on the cusp of being the first national pizza chain to achieve a domestic system-wide digital sales mix of 50%. And during the quarter, nearly 60% of all domestic delivery sales came to our digital channels, another industry-leading technology milestone for Papa John's. During the quarter, we also began our roll-out of our new point-of-sale system, which we call FOCUS. Over the long term, we expect FOCUS to contribute meaningfully to store level productivity and profitability. Finally, I'd like to talk briefly about our international operations. I, along with several members of our executive leadership team, toured seven international markets during the quarter, spanning from Asia to Europe. We were very pleased to see the progress being made in each of these markets and, as importantly, the vast growth opportunities available to us, particularly in China. I'm really proud of our product quality throughout the world and, with the tremendous amount of runway and robust – and a robust development pipeline, we're very bullish on the continued growth and success of our international operations. With that, I'll turn it back over to Lance for questions.
Lance F. Tucker: Ashley, I believe we're ready to take questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Alex Slagle of Jefferies. Your line is open.
Alexander Slagle – Jefferies LLC: Thank you. Just had a question – see if you could provide a little more color on the dynamics of the cheese cost impacting the franchisee store closures. Is that something you had seen in the past?
Steve Ritchie: Yes, Alex, it's Steve. I'll touch on that a little bit and add some color and maybe some of the other folks can jump in as well. Certainly the cheese – the commodity pressure over the last three years – the way I look at it is kind of the compounded pressure of the cheese. Certainly Q1, at record cheese prices, provided significant pressure on the franchise side of the business. But you look at the complement – our Chief Development Officer, Tim O'Hern, and look at our compounded growth over the last three years, both domestic and internationally. So still feeling really good about potential – the future growth potential on both domestic and international. But certainly a little bit of pressure – added pressure in the first quarter did apply itself to some additional closures that was a little beyond what we expected. With that said, just to reiterate, we are still reaffirming on the low end of the guidance for the full year.
Tony Thompson: This is Tony. I'll add a couple comments as well. Our model continues to be very, very strong, as demonstrated by our corporate restaurants performance and results. And as you see, we have very minimal closures on our corporate side. So when our model is executed correctly and well, it performs well. We're going to have ebbs and flows based on commodity environments that where you'll see a little bit few more closures. In addition, we're rolling out our new FOCUS system, as I mentioned in my comments. So that timing of commodity environment, plus a need for investment at the restaurant level, is another factor that's contributing.
Alexander Slagle – Jefferies LLC: Okay. And then sort of along the lines of the guidance in the pretax margin, just with the cheese cost being so high, maybe if you could talk to how you'll be able to manage that sort of flattish pretax margin year-over-year with those increases – maybe just discuss ways you could give us comfort in your ability to control cost of goods margins and how much flexibility you have there?
Lance F. Tucker: Alex, this is Lance I’ll start and let others jump in if they would like. Couple of things I would point out. One, we do have a moderate amount of our cheese at the corporate level locked in through the end of the year. And so we don’t give the exact amount but it's certainly enough to give us, we feel a good degree of predictability and visibility as to what's going on. The other thing I would point out is gave our guidance at the end of February. So certainly we knew, even at that point that cheese was relatively high. We didn't think it would go quite as high as it did and it's staying high a little longer than we would like. So with that said, we had a pretty good idea commodities were going to be up. So I feel pretty good that we've got it pegged as well as we can right now. Market's volatile but we feel like we're in pretty good shape.
Alexander Slagle – Jefferies LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Michael Halen of Sidoti & Company. Your line is open.
Michael R. Halen – Sidoti & Co. LLC: Good morning. Very impressive comp store sales, gentlemen. Can you give us any insight into what's driving the sharp acceleration?
John H. Schnatter: This is John Schnatter. Papa John’s is functioning at a extremely high level and has been for some time. This leadership team and management team, they understand the business model, they buy into the business model. And they execute the business model at an extremely high level. The success we're having today, we'll have tomorrow, are a result of the foundation and execution that we've laid the last five year.
Anthony N. Thompson: And Michael this is Tony. I’ll add a little bit to that. I think I might have mentioned in the last call its really not any one thing, it’s a composite of multiple things. First and foremost, our store operators executing at a very high level, consistently on quality and service. Second, would be menu innovation, as we talked about the Double Cheeseburger Pizza and the cookie and the cookie that we introduced in the fourth quarter and our current new Sweet Chili Chicken Pizza, that I hope you'll go out try, I think you’ll like that. Our marketing creative, our partnerships NFL, Peyton, Joe Montana and of course our digital strength and you put all that together and what John just talked about a very focused – not just executive leadership team, but the entire operations team. Everybody's like-minded and focused and passionate about better ingredients, better ingredients, better pizza.
Michael R. Halen – Sidoti & Co. LLC: Yes. It seems like everything's clicking together right now. Do you have any idea how much tailwind weather was in the quarter?
Lance F. Tucker: Michael, this is Lance I'll jump in there. We typically don't attribute much by way of our comps, good or bad to weather. What I think we can say there is we may have gotten a little bit of benefit, but in light of a 9.6% domestic comp, certainly it wasn't the lion's share of what happened.
Michael R. Halen – Sidoti & Co. LLC: Yes. Of course. Okay. And you mentioned the Sweet Chili Chicken Pizza. So with the run-up in beef and pork prices, can you talk about how you plan to maybe use the marketing calendar to help manage the mix here in 2014?
John H. Schnatter: Yes, Michael, this is John again. With the sudden increase in commodity cost, there will always be a lag in profit margins. But since we do not operate in a vacuum, the ability to raise prices usually lags behind cost increases. The good news for Papa John's is that we’ve shown the ability to get a more premium price over time than the others in the category. I would say the difficult part is short-term. And that's really staying true to BIBP and customer experience in order to get that premium price over long-term. Then in the day if you drive the top line, sooner or later you figure the bottom line out.
Anthony N. Thompson: And Michael this is Tony. We are certainly mindful of commodity forecasts as we look ahead on our planning, but really, John's point I think is key on also marrying that to a premium price point, which not only this year have we been able to achieve, but last year as well, we were at $11, where our competitors were underneath that. So that's kind of the strategy that we continue to manage and it’s working for us.
John H. Schnatter: In a rising commodity cost environment, losing sales momentum can really cause problems and of course we are doing the opposite of that. We're building traffic and building sales.
Michael R. Halen – Sidoti & Co. LLC: Your pricing power's been impressive. What do you think -- and I guess this would just be my last one for now. What do you think is a reasonable goal for digital sales mix, say, five years from now?
Anthony N. Thompson: Oh five from this, oh no five years.
John H. Schnatter: I’ll take it first, we certainly think there is more upside on digital sales mix and to put a feeling on it, as we said we are likely to be the first 10% to 50% and believe it will continue to decline, we have not seen a slow down in that progression. So where does it stop? I'm not sure we can probably put an answer on that. But I think for the near term, we would expect it to continue to grow.
Michael R. Halen – Sidoti & Co. LLC: All right. Great. Thank you very much.
Operator: Thank you. Our next question comes from Alton Stump of Longbow Research. Your line is open.
Alton K. Stump – Longbow Research LLC: Yes, thank you good morning.
John H. Schnatter: Al.
Alton K. Stump – Longbow Research LLC: Just a couple questions. First off, on the comp front, obviously a huge first quarter in North America and in the U.S. in particular. But you kept your full year guidance unchanged, which I think was up in a 2% to 4.5% range. Any reason for that? Obviously it implies a pretty sizable deceleration sequentially versus the first quarter.
Lance F. Tucker: This is Lance, I will take that one. As we just talked about with cheese a few minutes ago, we released our guidance really at the end of February. So we had pretty good visibility that that we were going to have a good, strong first quarter. So that comp guidance incorporated that. In addition, looking forward a little bit, when you get into the fourth quarter we do have a pretty significant hurdle of over 9%. And so factoring what we knew was going to be good strong first quarter with what we know are going to be good start challenges relative to comp hurdles, anyway, felt like this early in the year it was prudent to keep it where it is.
Alton K. Stump – Longbow Research LLC: Okay. Makes sense. And then as far as international margin, which I looking back, I think it's been quite some time, if ever, that you guys have actually grown sequentially from fourth quarter to the first quarter. How sustainable is that margin performance? You mentioned U.K. being strong in the press release. But is there anything else that drove that margin recovery year-over-year internationally.
Lance F. Tucker: This is Lance again. First, let me make sure I'm understanding your question. Are you looking first quarter over first quarter or sequentially or both?
Alton K. Stump – Longbow Research LLC: Both.
Lance F. Tucker: Okay, well first of in the fourth quarter, I'll hit that one first and I'll let others jump in as they see fit. We did have a number of one time costs well in excess of $1 million. So that made the sequential growth a little bit easier to come back frankly. I think that the big thing is versus a year ago which is really how we’re looking at the business. We got a lot more scale and scale as you know, drives everything in this business. And I think just continued strong cost comps and growth in units ought to lead to a pretty sustainable growth in that international number over time.
John H. Schnatter: Alton, this is John. I'll give some color to that on a big picture basis. Both our larger competitors had over 6000 stores international. So we feel like there is a lot of runway internationally for growth.
Alton K. Stump – Longbow Research LLC: Okay. Makes sense. And then just one last follow-up or next question. As you guys have been great about offering what percentage of your sales comes from total digital. As I look at just the mobile app piece, which to me seems to be the up and coming driver in that overall bucket, any color or any guidance as to what percentage of sales that represents and where that could go over the next three to five years?
Lance F. Tucker: This is Lance again. That is not a number that we have disclosed yet the color we have given as you might imagine mobile is easily the fastest growing piece of digital business. But at this point we are prepared to share the details around that.
Anthony N. Thompson: This is Tony, I really we are certainly prepared for that continued growth on that pipeline.
Alton K. Stump – Longbow Research LLC: Okay. Great. Thanks again, guys. Appreciate it.
Lance F. Tucker: Thank you.
Operator: Thank you. Our next question comes from Peter Saleh of Telsey Advisory Group. Your line is open.
Peter M. Saleh – Telsey Advisory Group LLC: Great thanks. Lance, can you just talk a little bit about last quarter? You guys indicated that the investment on the new point-of-sale would be about $0.08 for the full year. How much of that $0.08 was in the first quarter? And how much are you expecting maybe in the first half of the year?
Lance F. Tucker: So Peter, I'll hit that at a high level. So we're really just getting going on a rollout. So there wasn't a meaningful impact in the first quarter. I would say the large majority of that $0.08 is going to hit in the second half of the year. I'm not going to break it out quarter-by-quarter. That would be a little difficult, frankly, but the second half of the year is where the lion's share that’s going to come and really nothing in Q1.
Peter M. Saleh – Telsey Advisory Group LLC: Okay. On the G&A side, I think I guess what we're struggling with here is really robust top line growth and fairly modest bottom line. So maybe, Lance, can you just walk through some of the puts and takes on a year-over-year basis on really what drives the earnings number this year versus maybe expectations and versus last year?
Lance F. Tucker: Sure, I'll start and then let others jump in. First of all, I want to emphasize our operating units did in fact see leverage off those sales. So whether it was restaurants, commissaries, franchising, international, all were up fairly significantly on the profitability side, which is exactly where we want to be. We did have a couple of things that cost us $0.002 or $0.003 [ph] that I think probably some of you all didn't have built into your models. One would be the tax rate was certainly higher than we guided to. And we're sticking with our full-year tax rate but it always tends to be higher early in the year. So that cost us about $0.01. We were hurdling – also with the benefit we got from some JV accounting in the first quarter of 2013, that is over $0.01. Higher interest expense cost us about $0.01. And then, as you look at, really the unallocated corporate G&A piece was up about $1.6 million. That was mainly due to increased salary expense, long-term performance based compensation costs, as you can imagine, the long-term results that resulted in incentive payments and then tax and benefit cost. So nothing real out of the ordinary but a couple of hurdles that we had in the first quarter that we would hope would not persist throughout the year.
John H. Schnatter: Peter, this is John. With the Company executing at this level, the two things that myself and the Board are keen on is to continue to take care of the management team. So there was some executive compensation on long-term incentives. And then, of course, not losing anything on that [demonstrable] (ph) value piece with the customer experience. So I think it's money well spent to incent and reward high performance. And that's what's going on right now at Papa John's – high performance.
Peter M. Saleh – Telsey Advisory Group LLC: Great. Helpful. So just switching gears to the point-of-sale system. I think you guys have quantified the impact on earnings this year from the implementation of the point-of-sale. And I think, Tony, you had mentioned that there will obviously be an operational benefit from implementing this. So I think the hard part here right now is we can kind of model in the cost but we don't really know how to model in the benefit. So any kind of guidance you guys can give us on what kind of benefit you expect from the point-of-sale, I think that would be very helpful.
John H. Schnatter: Peter, I'll hit that at a high level and then I'll turn it over to Steve Ritchie. The feedback from FOCUS out in the field has been very positive. And the folks that are operating the stores really like FOCUS and think it's a much an improvement on the previous point-of-sale system. With that being said, we're in the same boat as you. When you roll out 3,500 computers, you're going to have things that happen that are unpredictable. So if we could build in a top side and build in a bottom side, we would. But we'd rather just build in the bottom side and then see what happens. And that way we're protected on the down side and hopefully the upside will take care of its self and maybe even better than that – synergize the profitability of the stores.
Steve M. Ritchie: Yes, thanks, John. Peter, it's Steve. As we kind of said last quarter, difficult to quantify when you're talking about a rollout of new technology. As Lance alluded to, in the very early stages of the preliminary rollout of this system. However, we know there will be true benefits that will help us leverage the labor side of the business, help us leverage the accuracy on the cost-of-sale side of the business, reduce the training learning curve and should improve overall retention long-term. The key thing is, though, a lot of those benefits we won't get true visibility to until you start getting into 2015. So, again substantially we're projecting to be substantially complete with this rollout by the end of the 2014. So, we’ll be able to get you much better visibility to quantify in the actual savings in the next year.
Peter M. Saleh – Telsey Advisory Group LLC: Just two more. The – any thoughts on the per unit cost of the POS system?
Lance F. Tucker: Peter, this is Lance. It's going to range a little bit based on the actual configuration in the stores. Believe it or not, they don't need exactly the same things. But I think the average we’ll see will be under $20,000 per store. I think that's about all we're prepared to give right now.
Peter M. Saleh – Telsey Advisory Group LLC: All right, and then just shifting gears to international. Where do we stand on hitting profitability in China?
Lance F. Tucker: I’ll start and I'll let other folks jump in if they would like. So first of all, Q1 over Q1 we were pretty in line with where we were last year as well as in line with where we expected to be. When you look sequentially, we had a number of one-time costs in the fourth quarter that went away. So certainly China was a big improvement in the first quarter versus the fourth quarter. I think long-term and I’ll hand it over to some of these other folks here, but I think long-term we are making progress, we expect to hit profitability, but we are still not going to give you a quarter date where that’s going to happen.
Steve M. Ritchie: Yes, Peter its Steve. I think I said last quarter, significant improvements from a profitability standpoint that we have projected for the full-year 2014 over the full-year 2013. some of those expenses of that non-recurring items that took place in the fourth quarter of last year. Bottom line is, if you look at our franchise business in East China and South China, the progress they have made over the – since 2003 when we entered the country, we certainly have opened a lot of units in our corporate owned markets in Beijing, so this is all about the long-term, so leveraging the infrastructure and the investments that we made, we will turn the corner, there is no doubt and the improvements that we have forecasted is what we anticipate.
Anthony N. Thompson: And Peter this is Tony. Tony. And as I mentioned, we just came from a trip over there, Steve, myself and Tim O'Hern and others, very bullish on just our whole Asia plan, and China we have 204 stores there, tremendous upside, really excited about the product quality and service that we are seeing there and so I think we are under-penetrated there but long term we feel really good about, we are going to continue to invest in it and focus and you are going to see improvement in the near-term as well.
John H. Schnatter: Peter this is John. Your quality is only as good as consistency. And we have a demonstrably better product here in the U.S. than our competitors, but that gap is way bigger internationally and I think that’s going to pay huge dividends when that kicks in. We can't exactly tell you, but the level of quality that we operate in the consistency that we operate at is much better internationally than it is in the U.S. and we’ve had quite a bit of success here in the U.S.
Peter M. Saleh – Telsey Advisory Group LLC: Great. Thank you very much.
Operator: Thank you. Our next question comes from Chris O'Cull of KeyBanc. Your line is open.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: Thank you, good morning.
Lance F. Tucker: Good morning Chris.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: I just had some questions follow up with some of the ones that have already been asked. Lance, why did the North American franchise segment profits grow less than 7% when the comps were up 9% and the unit group expanded?
Lance F. Tucker: I think there is a couple of things that go into that royalty rate and that ultimately end up hitting through that segment, one of those – I believe you are well aware and most of the folks on the call will be, we have some incentive programs out there. so when you see these kind of comps, we do tend to pay out a little bit more in incentive programs for our franchises. So I would say that’s probably the biggest reason. Overall, it was a little bit under where the comps were, but I would say significant the 7% or 8% growth. So that’s the biggest reason for that difference.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: an you remind us what the incentive program is in terms of -- when the comps are up like this, you said that you pay out a little more with incentives. What do you mean by that? What's going on there?
Lance F. Tucker: Well I’ll give you a high level view, I’m not going to give you the specifics, that we do based on comp levels reduce the royalty rate a little bit for franchises that hits certain benchmarks and without getting into exactly what those amounts are, obviously its on our best interest for them to raise those comps and have a good healthy franchise units. So we don’t mind cutting the royalty just a little bit, when they really perform at high levels.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: And I assume it's in your best interest because now they're contributing more to the ad fund, which benefits the entire system.
John H. Schnatter: Exactly Chris, this is John. If you take a quarter-to-quarter look at this, when we know that we have to hit the quarter, we would look at the business a little bit differently. All the business units were up on profitability, the things that went backwards were executives incentives long-term, I think that’s a good thing, incentives to get stores open, we think that’s a good thing and incentives to run higher comps with the franchises that’s a good thing. And while it hurt us a little bit in Q1, I think it’s going to pay huge dividend in the future. Now in a year or two we are going to have another great quarter and you are going to say why that you all have such a great quarter. And we are going to say that’s what we did back in Q1 of 2014, that’s what we’ve been doing for the last five years, reinvesting in the business and continue to grab and excel market share.
Steve M. Ritchie: Yes Chris and its Steve. Maybe I’ll just add one more point to that and John hit a lot of the highlight here are key to this piece, but the other part just to touch on is that this is the incentive piece, its not a long-term commitment to the franchise side of the business, so we look at this very strategically from month-to-month, quarter-to-quarter on ensuring that we are applying our dollars in our incentives there is going to continue to drive that, those market share gain and drive the unit development on the franchise side of the business. So you are going to see kind of variation from quarter-to-quarter, but gain it always alines with long-term strategy of the business.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: Great. And then one last one. The past couple of years the international operating expenses have been increasing in the 20%, 25% range. And I'm assuming this is due to increased development of Company-owned stores in China. First, is that true? And then how should we think about the Company's plan for development in that country? I know that there's been some change in ownership of some of the franchise groups in China and it seems like they're better capitalized. And should we expect the franchisees to take over more of the development plans in China eventually, or at least over the next couple of years?
Lance F. Tucker: Chris this is Lance. I will start and then I will hand it over to Tony and Steve, relative to the operating expense as you know on the face of the P&L that line includes only the operating expenses from China and from the QCCs that we own including the U.K., so in fact as you see those expenses go up and they are relative generally to development. And I think long time, obviously we are thrilled to see the franchisee built that we’ve seen and we are suddenly open to discussion we think overall chance to great market regardless of who owns it. I'll let Steve and Tony jump in here.
Steve M. Ritchie: Yes, I will just jump in. One item on that, Chris, I think the key piece is to your question where the development's going to come from and I think we announce just last year we did have a new investment private equity firm coming EQT bought the majority interest in our franchise business. So we’ve been a very excited very please in that that’s mutual on the excitement around the potential side of the business in terms of growth. So certainly in base of the 150 stores versus our basis of roughly 60 stores in the in Beijing. You are going to see more growth by coming from the franchise side of the business, but again very balanced approach and how we look at this obviously the size of the opportunity is just significant for us in China and we’ve been have a lot great that success.
Anthony N. Thompson: This is Tony. I will last comment on China. Our presence in China as much like our corporate presents in the U.S. having a base in a very, very important part of the world, is important to us having our year the ground and in a high opportunity area is very important. So we are going to continue to invest and you are going to see our corporate stores are going to be successful there, but that’s an important for the equation for us.
John H. Schnatter: And Chris, this is John. As a founder I can't over-emphasize this point. This leadership team and this management team, they understand the business model buy into the business model. And they execute this business model at an extremely high level. I couldn’t say the internationally two years ago may be when year ago that how much better we’ve gotten with front in our business internationally like we do in the state and one of those disciplines is marketing. Bob, you want to comment on what we are doing with the marketing front international.
Robert C. Kraut: Yes, we are recently made a change and we could a senior leader, is in place here the U.S. we will overseas field marketing and made that a global position and really that was in an effort of taking some of the things that have work from a common process and best demonstrated practice and trying to common nice pattern sure that with our country managers and in various different regions. So that practice and process underway. The other thing we are doing because we have greater integration now through that management changes just generally improving the quality of the – of our communication material, the presentation of our food and getting much more consistent seeing the way the brand is presented around the world.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: Just as a follow-up, the number – how many I mean right now, that you roughly 60 stores in Beijing. How many stores could that market handle, roughly, just ballpark? And then how – I guess the other question I would have is are there other markets in China that the Company would like to have control of?
Steve M. Ritchie: I'll start with it, Chris. The 60 stores, I mean basically 20 million people in the Beijing, the city Beijing. So certainly the number we have not put a pen to, so the actual number. And a lot of that's due to the fact that we've got a very balanced strategic development approach on – we've got restaurant based delivery, restaurants that make up about 50% of our units and. And we also started last year and opened kind of a delivery with seats, which is kind of more similar model to the U.S. So, we're still assessing exactly what this picture looks like in terms of the balance of the unit and where we would apply those in the long-term. To your second question, in terms of our corporate development additional markets, I think our focus will remain on the Beijing market because, obviously, a lot of opportunity to build out that. As we look at all of our international markets, that is the only corporately owned international presence that we have and, obviously, a large opportunity.
Tony Thompson: And Chris, this is Tony. It would be probably premature for us to give too much detail on our longer term strategy in that area, given our 204 stores is not a lot in that huge area of opportunity. So stay tuned down the road. And as we progress, we’ll certainly share more.
Chris T. O'Cull – KeyBanc Capital Markets, Inc.: Great. Thanks, guys.
Operator: Thank you. Our next question comes from Mark Smith with Feltl. Your line is open.
Mark E. Smith – Feltl & Co.: Hi, good morning, guys. Most things I think have been hit. But I have just a couple quick ones. First one may be hard to quantify. But can you talk about how much of your domestic comp in Q4 and Q1 may have been driven by NFL and Peyton Manning? And how can you keep the momentum going through the summer when we don't have football?
John H. Schnatter: Mark, this is John. We were concerned getting away from the NFL and getting away from Peyton with success we had in Q4 and P1 of this year with myself and Double Cheeseburger Pizza. And we didn't, as you can see in the 9.5% and 9.6% comps [ph]. We did not loose any momentum. But again, it's all about execution. And we expect to continue to execute at a high level, which has produced extraordinary results the last two quarters and we believe will provide for a very bright future. Bob.
Robert C. Kraut: Yes. In addition to John's comments, beyond the NFL we do have a partnerships, local partnerships, in sports that are seasonal throughout the year. So right now, I think we’re reaping some of the benefits of the sports sponsorships that we have in baseball and basketball. And that provide greater coverage among the sports enthusiasts who's a good customer of ours. Obviously it fits very, very well with the usage occasion of Pizza. So, we’re trying to smooth that out. And then football and Peyton Manning is something that is watched throughout the year. And the draft is upon us right and we’re going to be leveraging that, actually today and into the rest of the week with a special promotion. So we look at really taking what we have as assets and trying to work them and leverage them throughout the year so we can reap the benefits on a more long-term basis.
John H. Schnatter: Yes, Mark. This is John again. Again we know we have to hit the quarter but we really look at the business from a long-term perspective. I'll give you an example. As you know, four time Super Bowl quarterback Joe Montana is on our team. Super Bowl 50 is in San Francisco. San Francisco is Joe Montana. So we’re already thinking about Super Bowl 50. So that’s helpful how we think.
Tony Thompson: Mark, this is Tony. One additional comment as Bob indicated a lot of things we have with other partnerships, et cetera. We’ll keep take away here is it's not any one thing that we're relying on. It's a pretty much comprehensive approach that we're taking, as I mentioned earlier, and it's partnerships – and it's first and foremost, it's focused on consumers and what consumers expect and what they want. And our promotional calendar, our menu innovation, our leveraging our digital strength, those are all key parts of how we build our plan throughout the year. So, we’re not relying on any one or two things.
Mark E. Smith – Feltl & Co.: And the next question, just on the competitive landscape. Sounds like you're still doing a good job keeping premium pricing. But what are you seeing currently from other large peers as far as discounting? And then how do you think you can compete against fast casual as we see more units being built in the pizza category there? And lastly, any pressure from take-and-bake?
John H. Schnatter: This is John Mark. I’ll let Bob or Tony handle the take-n-bake, but we care a lot about cost and we try to run a really lean and mean company, but we care more about quality than we care about cost, our competition cares more about cost than they do quality. So like this past quarter as the cost of ingredients have gone up, the competition will let quality go down in the form of buying cheaper ingredients so to put less on which by the way they are already doing, because they are chasing that quarterly number, we are chasing the yearly number the problem with that program is this will further disappoint their customers, because you cannot reduce your quality without disappointing your lower customer base. At Papa John’s again as the competition disappoints we are going to hold on with quality, continue to deliver customers which overtime will drive top line sales and we should come out the other side of this things with a winning market share gain.
Lance F. Tucker: Bob do you want to set things?
Robert C. Kraut: Yes. so commenting best casual – certainly cognizant of the emergence of the best casual segment, and we’ve been monitoring and studying the new entries into the category. with that said, we that we are in a very good position to gain market share in the foreseeable future and that’s for two reasons. First, we believe that the best casual segment attracts a different customer with a need for different use education, but we are prepared to compete with those concepts to the extent or even in the event they impact our group occasion deliver carryout customer. And then secondly, we believe in echoing John’s comments on quality, we believe we are well positioned to grow and deliver carryout as a result of our superior quality leadership position and our technology leadership position. We believe we’ve got the best quality pizza available today and that almost half of our customers have discovered that it can be easily ordered on any of our digital channels, which we noted earlier is the highest percentage of any of our national competitors and then when you couple that with our restaurants delivering some of the highest customer service stores we’ve seen, you have got an unmatched quality experience that is delivered to your door and one that we believe best casual cant compete with right now.
Anthony N. Thompson: Mark this is Tony. One more comment, we absolutely pay attention to what our competitors are doing, what is going on in the category, but the most important focus for us is the consumer and changing trends in consumer taste and preferences and that too we focus on primarily and back to – sticking to our strategy and our play book, mindful of what's going on in the space, but consumer first is our approach.
John H. Schnatter: Mark this is John. We have a fundamental belief as painful as it is in the short-term at a time when the competition cuts cost, thus cuts quality, that’s when we report on that’s what we have to stick to our guns and we are.
Mark E. Smith – Feltl & Co.: Excellent. Thank you.
Operator: Thank you. We have a follow from Michael Halen with Sidoti & Company. Your line is open.
Michael R. Halen – Sidoti & Co. LLC: Just one more. How many LTOs do you expect to launch in 2014? And can you refresh my memory, how many were there in 2012?
Anthony N. Thompson: This is Tony. And that’s not something that we would want to share, although I will tell you that limited time offers and menu innovation, certainly will continue to be a key part of our strategy. It really elevates our brand position and accentuates it on better ingredients, better pizza. So just stay tuned for that, but we would not want to share those details.
Michael R. Halen – Sidoti & Co. LLC: Fair enough. Thanks, Tony.
John H. Schnatter: Michael, this is John. I can tell you that it's a big deal to both Tony and Bob Kraut to keep a robust pipeline of LTOs.
Michael R. Halen – Sidoti & Co. LLC: Got it. Thank you very much.
Operator: Thank you. We have another follow-up from Alton Stump with Longbow Research. Your line is open.
Alton K. Stump – Longbow Research LLC: Okay, thank you. Just want to check in on cheese cost. Based on the block cheddar charge size. It looks like we've really seen cheese costs basically fall off a cliff over the last week or two alone, not to mention since the end of March. Any outlook on your end – obviously I'm sure you're not cheese experts, so-to-speak, but any thoughts on where we could see cheese costs go from here.
Lance F. Tucker: Alton, this is Lance. A couple of things. A, we hope it's a long fall off that cliff. B, the way we look at cheese, we use the best information we have, which is typically the futures market. As of the end of last week, the Futures market was still indicating a block price a little bit over $2, it was in the $2.04 to $2.05 range. So certainly as we Get information around cheese coming down we will be delighted and we'll factor that in. But right now, our numbers reflect the environment we are operating in which is the $2 plus cheese price on a full year average.
Alton K. Stump – Longbow Research LLC: Got it. Makes sense. Thanks, Lance.
Operator: Thank you. We have another follow-up from Peter Saleh of Telsey Advisory Group. Your line is open.
Peter M. Saleh – Telsey Advisory Group LLC: Great thanks. So I just wanted to ask, big picture, given the higher cheese prices, are you seeing more of the – your independent competition starting to close their doors as well?
John H. Schnatter: Peter this is John. My observation is that when these commodities do what they’re doing, which is all-time high cheese and other basket – food basket pricing goes up its very painful short-term the long-term. It’s actually advantageous for us because it weeds out the weaker players in the folks that don’t believe in quality.
Peter M. Saleh – Telsey Advisory Group LLC: Okay. And then just a follow-up on the POS. When you make these types of investments within the four walls of the restaurant, what kind of ROI do you – or hurdle do you generally put on these types of investments.
Lance F. Tucker: Hey Peter, its Lance. We certainly have a cost capital we look at with that said we are not we haven't talked about what the ROI on this would as Steve noted earlier. What kind of look into 2015 and hope to start seeing some improvements due to this, but wouldn't expect anything for this year anyway.
John H. Schnatter: And Peter this John. We don’t have a choice but to roll this out. The system we haven’t place the 16 years old. It's antiquated. It's got to go. It's the plumbing of the business. We are looking at this from a efficiency in the restaurant, ease of operations for the managers, ease of training and probably provided better customer experience. With that being said, if you do those three things, you’ve got a figure you are going to have some kind of positive result on your cost. But we can’t quantify that at this time.
Peter M. Saleh – Telsey Advisory Group LLC: Thank you very much.
Operator: Thank you. I'm not showing any further questions in queue. I would like to turn the call back over to management for any further remarks.
Lance F. Tucker: Ashley, thank you. And thanks to everybody for being on the call. We’ll talk to you next time.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This conclude today’s program. You may all disconnect. Everyone have a great day.